Operator: Good day, and welcome to the Perion Third Quarter 2018 Earnings Conference Call. Today's conference is being recorded. The press release detailing the financial results is available on the company's Web site at perion.com. Before we begin, I'd like to read the following Safe Harbor statement. Today's discussion will include forward-looking statements. These statements reflect the company's current views with respect to future events. These forward-looking statements involve known and unknown risks, uncertainties and other factors, including those discussed under the heading Risk Factors and elsewhere in the company's Annual Report on Form 20-F that may cause actual results, performance or achievements to be materially different and any future results, performances or achievements anticipated or implied by these forward-looking statements. The company does not undertake to update any forward-looking statements to reflect future events or circumstances. As in prior quarters, the results reported today will be analyzed both on a GAAP and a non-GAAP basis. While mentioning EBITDA, we will be referring to adjusted EBITDA. We have provided a detailed reconciliation of non-GAAP measures to their comparable GAAP measures in our earnings release, which is available on our Website and has also been filed on Form 6-K. Hosting the call today are Doron Gerstel, Perion's Chief Executive Officer; Maoz Sigron, Perion's Chief Financial Officer; Mike Pallad, President of Undertone; and Mike Glover, GM of Search Division Unit. I would now like to turn the call over to Doron Gerstel. Please go ahead.
Doron Gerstel: Thank you and good morning, the headline today speaks to Perion profitability momentum and the strong financial discipline that resulted in a major financial milestone as long-term debt fell below our cash level for the first time in four years. As of September 30, 2018 cash and cash equivalents were $40.9 million and we generated cash flow from operations of $28.5 million since the beginning of the year. During this period we reduced our net debt from $60.7 to $39.7 million, a reduction of over $20 million in nine months. With our expense restructuring effort completed we are pivoting to the next phase of our turnaround. As you may recall from previous earning calls the strategy that we implemented when I joined Perion as CEO in April, 2017 was designed with three phases. Phase one was cost optimization to reduce a bloated corporate structure and get our business to the right-side, decrease operating cost and strengthen Perion financial core. Phase two is focus on differentiated technology. This technology is essential for our competitive advantage and phase three will be focus on growth. We continue to allocate technology resources to enhance Undertone's synchronized digital branding platform by integrating advanced AI-based sequential messaging capabilities to re-target user according to the level of engagement. The investment we are constantly making in Undertone have been enabled by the cost optimization initiatives we put in place which allowed us to extend our innovation runways and address the revenue headwinds we're seeing in the current programmatic environment. Advertising revenues declined in the third quarter mainly as a result of ongoing shift to programmatic advertising and its impact on demand supply levels which we discussed last quarter. To be more precise there was a continuing gap between the programmatic network who hold the inventory and the [feet] of our high-impact ad-unit. During the third quarter the capacity of publisher that could place our unique ad-units was less than the demand we had. So we had continued to have campaigns that are not being fully delivered. We are actively working with our programmatic partners to address this issue, so we can expand our available inventory to better scale our ability to deliver high-impact ad-units for our customer. Our partner represent the majority of the programmatic volume and I'm confident that we will close the current gap to better serve programmatic ready Undertone high impact ad-units in 2019. The combination of high impact, high quality and high engagement ad-unit that Undertone is known for is what brands are demanding where the growth in the market is and where the growth will continue be. This ad-unit derives significantly higher campaigns ROI for blue chip customer and thus carry a premium margin with them. Brands need their messages to reach their consumer at the right time in the right way with the right story. Undertone's synchronized digital branding strategy, combined performance focus, and award winning creativity with AI-driven distribution and targeting to perfectly answer the brand's needs. What we launched in the beginning of the year and are continuing to build is an industry defining combination of creativity and sequential targeting delivery. This will keep us focused on our differentiation, a reputation for leadership and quality as we adapt in real time to a programmatic world. In parallel, we continue to leverage our relationship we've been to drive innovation and revenue as part of our ongoing effort to provide comprehensive and compelling search solutions to quality publisher around the globe.
.: I also want to take this opportunity to thank Mike Glover our former CodeFuel GM for his dedication and ability to enhance our relationship with him. Mike will continue to advise the company in 2019. Now I'll turn it over to our CFO, Maoz to review the quarter in further detail. Maoz? 
Maoz Sigron: Thank you Doron. In the third quarter of 2018 revenue for Perion totaled $57.2 million comprised of $26.2 million of advertising revenues and $31 million of Search and other revenue. Revenue was down 12% from $65 million in the third quarter last year. This decrease was primarily a result of 17% decrease in advertising revenue due to insufficient programmatic inventory to meet our demand for our programmatic high impact ad-units along with 7% decrease attributable to continuing decline of the long tail of our legacy search product. Search and other revenue represented 54% of revenues for the third quarter of 2018 with advertising contributing 46%. This compared to the second quarter of 2018 when sales contributed 47% and advertising contributed 53%. Customer acquisition costs and media buy in the third quarter of 2018 was $28.8 million or 50% of revenue compared to $32 million or 49% percent of revenue in the third quarter of 2017. This increase was primarily a result of the effects of header bidding and Chrome ad blocker on Advertising. We reported net income of $2.2 million or $0.08 per diluted share for the third quarter of 2018 compared to $2.6 million or $0.10 per diluted share in the third quarter of 2017. Perion non-GAAP net income in the third quarter of 2018 was $4.3 million or $0.16 per share compared to $4.1 million or $.016 per share in the third quarter of 2017. Adjusted EBITDA in the third quarter of 2018 was $6.7 million compared to $6.5 million in the third quarter of 2017. Cash flow from operating activities for the first nine months of 2018 was $28.5 million compared to $28.9 million for the first nine months in 2017. As of September 30, 2018 we had cash, cash equivalent and short term deposit of $40.9 million compared to $27.5 million as of December 31, 2017. This concludes my financial overview for the third quarter of 2018. I will now turn the call over to the President of Undertone, Mike Pallad for details on the business.
Mike Pallad: Great. Thank you Maoz. I would like to take a few minutes to address some of the challenges of Undertone's advertising business which Doron referenced earlier. Simply put our clients want more of what we offer because it works. Utter chunk effectiveness a digital spin continues to be a challenge for marketers and agencies alike. Undertone's ability to provide a cohesive message across all screens and platforms and safe, premium environment, derives the desired engagement that brands are looking for regardless of their KPI. This is exactly is what driving our demand. We are working to ensure the demand can be completely met ending the supply issue once and for all. To accomplish this goal we have implemented an aggressive plan of action. It could be more specific initiative not only to drive more supply for brand but also to enable us to offer services in an unreserved programmatic environment. Some of these new initiatives were driven by the recent guideline changes of the coalition of better ad. Motivated by these changes we've introduced four new compliant Cross-Screen ad-unit which allows us to scale more with our existing premium publishing network and also onboard new premium publishers enhancing the total quality of our network. Also we continue to release our header bidding technologies into the marketplace which gives us the ability to decide on specific impressions from publisher sites that best match the brand's campaigns KPI. This enables us to also see more supply from those individual publishers. Finally, the roll out of our direct [indiscernible] integration with our DSP partners continues to take traction. This also allows us to see more from our net new publishers as well as our existing publisher network. Over the next quarter and into 2019 we'll continue to release new technology solutions throughout the entire network. These advancements and continued hard-work of the stellar team that we have are well on our way to eliminating the gap between supply and demand as well as creating a friction-less environment for brand partners wanting to transact with us programmatically. Thank you so much and I'll turn the call back over to Doron. Doron
Doron Gerstel: Thank you Mike. In summary, I'm encouraged by the progress we're making and I'm pleased with the team's execution of the turnaround strategy. Make no mistake though the goal here is to rejuvenate Perion long-term growth, maximize the generation of cash and unlocked value for our stockholders. I will be satisfied only after we have delivered each one of these primary goals. I would now like to open the call for questions. Operator?
Operator: Certainly. [Operator Instructions] We'll take our first question from Greg Gardner from a private investor. Greg your line is open. Please go ahead. Caller you need to un-mute yourself. Please check your mute function. There is no response. So we move on. [Operator Instructions] We'll take our next question from Juan Noble from Taglich Brothers.
Juan Noble: Hello good morning. Actually good afternoon in Israel. I was hoping you could talk a little about how the recent certification from Google for MakeMeReach how that's going to benefit your platform and your clients campaigns?
Doron Gerstel: Yes. Mike you want to take this one?
Mike Pallad: Sure. We are really excited obviously about that announcement the MakeMeReach platform and their ability to optimize social campaigns through their existing integrations between obviously Facebook, Twitter, Instagram and Snapchat, now added with Google first and reporting and as we roll out the roadmap into 2019 eventually into their ad network business and into search. So this is going to add yet another major pillar in the overall platform allowing our brand, our advertisers to traffic optimize and report all within one dashboard.
Juan Noble: And if I could, last quarter it was mentioned there was about $2 million to $3 million in ad revenue it was lost due to supplying not meeting demand I believe was the reason for that. I wanted to get a better handle on that. I was curious if you could talk about any progress that was being made to meet the demand from clients.
Doron Gerstel: Yes Mike [indiscernible] in detail.
Mike Pallad: Absolutely. Let me address again Juan and happy to discuss with you further. So it was a very specific plan of attack that we implemented and this goes back into second quarter of this year. So number one being able to access and see more supply from our current publishing premium publisher base. This was driven through some of the new technology enhancements that I shared such as header bidding technologies as well as being able to be directly integrated into our DSPs. So that's more from our current base of advertisers. The format that I spoke to earlier they'll be releasing the market these formats are Cross-Screen and also more scalable allowing us to not only provide or see more supply from our current publishing network but also tap into net new publishers who previously weren't part around our overall offering. So all of these things combined or actions taken to specifically do address our supply issue.
Juan Noble: Okay and actually like just for Maoz some questions just to get an idea of tax rates for 2018 and 2019, just as to get an idea the expected tax rate Maoz if you could address that? 
Maoz Sigron: Yes, of course. Thank you. We are expecting – in 2018 we are expected to be around 19% tax rate and moving forward next year it will be on the fair between 25% to 30%.
Juan Noble: 25% to 30%. And one more question because I know that you've actually you've dramatically decreased your debt levels which is very positive as far as the balance sheet is concerned but I was hoping on this call that you might be able to give me what the expected debt levels might be at the end of 2018 and 2019, I don't know if you could even break it down into both short and long terms debt. Maoz another question for you. 
Maoz Sigron: Okay. Actually the most, the major payments for 2018 already paid during Q1 and Q2. We are expecting an addition immaterial amount for Q4 around $2 million. We are expecting to end the year with $38 million debt. For 2019 we are expecting to pay another $30 million and the rest this is around of $9 million we will pay in 2020. 
Juan Noble: So 2019 you expect that to be down to like less than $10 million? I just want to make sure I'm sure that how much is going to be paid down in 2019.
Maoz Sigron: Again pay down in 2018 additional $2 million. In 2019 additional $30 million and 2020 additional 9 million.
Juan Noble: Okay. That's where you're going to leave about a really $8 million or $9 million at the end of 2019 on the balance sheet which –
Maoz Sigron: Yes. That's right.
Juan Noble: Not much. Okay. Great. That's all I had. Thank you.
Doron Gerstel: Thank you.
Operator: [Operator Instructions] Moving on we will take our follow-up from Greg Gardner from private investor. 
Greg Gardner: Yes, hi. Thank you. The $30 million EBITDA guidance, $20 million is Undertone, $10 million his Search is that about right and Undertone was doing $20 million in 2015-2016 on similar sales as today?
Maoz Sigron: So our point is that we're not breaking EBITDA on the different business unit and or anything that we are, I think is top line and we distinguish between Advertisement and Search.
Greg Gardner: Okay. If the over – was the overall demand in advertising up sequentially fulfilled plus unfulfilled if we include both and was there seasonality that impacted, it also like I'm just wondering is sequentially the overall demand in advertising was up?
Maoz Sigron: So the overall demand is definitely up. This is something that we see especially after introducing the beginning of the year and our new narrative which is around synchronous digital branding. We've seen it with the same brands are investing more due to this new integrated advanced AI-based delivery. So overall definitely on the overall demand we are very pleased.
Greg Gardner: And the increase was not a seasonality issue. It was just pure growth.
Maoz Sigron: No we are looking at growth always from a year-over-year perspective.
Greg Gardner: Okay. The New York City staff increases during the quarter hurt your EBITDA by how much? I'm assuming it takes three to six months for the new hires to contribute to EBITDA. So I was assuming that the EBITDA was hurt in the quarter by the staff increases. If that's correct how much was the EBITDA hurt in the quarter?
Maoz Sigron: I think first of all we need to understand that while on one hand we are working really hard with the technology and product to allow us to serve programmatically the demand that sales are bringing in. At the same time it takes a good six months to ramp up the new account executive. So always you need to invest before. You are basically able to see the results. We are very happy with the new hiring and training process that we have at Undertone and we have no doubt that this new hiring will definitely translate it to additional revenue in the various region.
Greg Gardner: How many staff increases were done in the quarter at Undertone? 
Doron Gerstel: I think it's around 17 people. 
Greg Gardner: Okay. Two more. The percent of Undertone revenue that is software platform revenue and the percent of Undertone revenue that is ad agency consulting and design revenue what is the break out of those two types of revenue for Undertone?
Doron Gerstel: At this point we're not providing this breakdown between software and service.
Greg Gardner: Okay and lastly would you discuss the basic transition that Undertone went through the last two years? I see was it – where the folks -- the revenue focused switched from buy side to sell side and now revenue was impacted during that transition and now the transition is complete and the revenue is now or the demand is now increasing. Is that the short version of the transition or would you discuss a little bit more how the revenue focus changed the last two years? 
Doron Gerstel: Yes. Very much. Thanks for asking. I think it's a very-very important – very important question to understand what Undertone went through in the last two years and for those who cover Undertone and Perion. Undertone was very much well-known of selling the high impact formats and in this regard it was one format that was dominant like 70% of the sales. The transition now is that Undertone transit into selling the solution, complete solution selling and in this regard we are way, way more to offer to our advertiser and it's a cross-platform, cross-channel. And we have multiple format and all in all we added a new way of delivering our ads and its campaign and we talked about the sequential. So it's a complete transition and we're glad and we’re able to see as I mentioned in our last earning call more and more accounts. They are spending million dollars and more with us. We see more and more accounts that are increasing their spend and we see that from a renewal standpoint we see more and more accounts or brands that are coming back to us. So all in all, definitely the business KPI is very much support the new transition that Undertone has made and that's not the end of it.
Greg Gardner: Okay. Does the software platform allow a client to do self-service ad campaigns similar to trade desk where the client will actually do the ad campaign in-house, self-service with the software platform?
Doron Gerstel: Right. So currently one of the things that we did strategically we embedded MMR MakeMeReach, our social media ad placement platform into the offering of Undertone. And Mike explained before how this platform, the MMR platform, which is a self-service platform is being expanded and very much cover all prominent social media channels and now they covered the Google ad as well and this is our first step in the direction of self-service and this is being done by using Undertone – MMR search platform.
Greg Gardner: Okay and on your free cash flow. I am sorry the $30 million of EBITDA is approximately $25 million of the $30 million EBITDA free cash flow roughly $0.80, $0.90 almost a dollar share of free cash flow.
Doron Gerstel: I think that if you look on other client, free cash flow based on the first three quarters of 2018 we see that our free cash flow is not so far from our EBITDA and this we need to say what is the expected free cash flow for 2018 it wouldn't be so far from our expecting EBITDA right now.
Greg Gardner: Okay. For 2019 if the demand is fulfilled with the higher demand and that would mean the top line would increase in 2019 and there's a high incremental margin and with the 2019 EBITDA be able to do $33 million -- $35 million EBITDA give or take or is that too low?
Doron Gerstel: So it's definitely too early for us and I think we would love to talk about 2019 in our next earnings call but we definitely set the foundation with what we defined as phase one out of the three strategic phases which has to do not just on the cost optimization but also how we are controlling the spend and the cost and how important it's for us to operate in a lean and mean way and we are definitely going to continue in this trend.
Greg Gardner: One quick last question if the company only lists on the U.S. then how much money would that save per year?
Doron Gerstel: It costs us around $1 million to $2 million to have a dual listing.
Greg Gardner: That would say $1 million to 2 million a year?
Doron Gerstel: Yes.
Greg Gardner: Okay. Thank you. That was my questions.
Doron Gerstel: You are welcome. 
Operator: I will now turn the call back to Doron to conclude today's call.
Doron Gerstel: Yes. Thank you guys for joining the call and we would love to take any questions that you have on face-to-face when I'm going to be in Europe soon and or by calling us. Thank you again.